Operator: Greetings, and welcome to the Seaport Entertainment Group First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Matt Partridge, CFO. Thank you. You may begin.
Matt Partridge: Thank you, operator, and good morning, everyone. Thank you for joining us today for our earnings conference call. With me today is our Chairman, President and CEO; Anton Nikodemus. As outlined in our earnings announcement press release from a few weeks ago and in a similar format to our year-end 2024 earnings conference call in March, we solicited questions ahead of today's call, and we've incorporated many of those questions and answers into our prepared remarks. If you have additional questions after today's call, please contact, ir@seaportentertainment.com, and we'll respond to any additional questions accordingly. Before we begin, I'd like to remind everyone that many of our comments today are considered forward-looking statements under federal securities law. The company's actual future results may differ significantly from matters discussed in these forward-looking statements, and we undertake no duty to update these statements. Factors and risks that could cause actual results to differ materially from expectations are disclosed from time-to-time in greater detail in the company's Form 10-K, Form 10-Q and other SEC filings. You can find our SEC reports, earnings release and most recent investor presentation on our website at seaportentertainment.com. With that, I'll now turn the call over to Anton.
Anton Nikodemus: Thanks, Matt, and good morning, everyone. Before I get into our first quarter performance, I'd like to highlight the priorities and strategies we've outlined during our last call, because I think they provide a nice foundation for today's prepared remarks and a framework for our execution in 2025 and beyond. Our main priority is to address the factors contributing to the company's cash burn by implementing strategies to achieve breakeven in 2026, profitability in 2027 and a stabilization of the current asset base by 2028. To achieve these milestones, we've emphasized handful of more specific initiatives that include evolving the Tin Building experience to meet guest needs, while improving financial performance by working closely with our partners at Jean-Georges to leverage what is working well and addressing or fine-tuning what isn't, programming and leasing the existing vacancy throughout the Seaport neighborhood to drive improved cash flows, frequency of visitation and customers' length of stay, monetizing limited or non-cash flowing assets such as 250 Water Street through outright sales or strategic partnerships, optimizing the utilization of the Las Vegas ballpark through unique relationships and special events and improving our organizational infrastructure to allow us operate more efficiently. With these priorities as a backdrop, I'm pleased to report we had a productive start to 2025 as we continue to identify and implement best practices and execute on our strategic initiatives designed to improve the performance of our operational assets, build leasing and programming momentum at the Seaport and work through transitional items to stabilize our overall infrastructure. Starting with our Hospitality segment. During the first quarter, we made a strategic decision to reduce operating hours as many of our restaurants in the Seaport, including closing certain outlets. This decision had a negative impact on first quarter hospitality revenues but allowed for better overall segment profitability during what is our seasonally slowest quarter f the year. Same-store hospitality revenues were down 12% year-over-year during the first quarter. And overall hospitality revenues declined 16%, driven by a 33% reduction at the Tin Building, where performance was impacted by the closure of certain concepts for the entirety of the quarter. The performance of the Tin Building was partially offset by 5% revenue growth from our managed restaurants, including meaningful growth at Lawn Club. These results do include the effects of our consolidated hospitality operations, which now include the Tin Building and our unconsolidated venues such as the Lawn Club. Even with the revenue decline, we made progress with the financial performance of the Tin Building, improving first quarter asset level EBITDA by 7% compared to the first quarter of 2024. As we head into the busiest part of the year, we are working closely with our partners at Jean-Georges to optimize the operations at the Tim building, while delivering incredible food and beverage experiences that our customers have come to expect from the acclaimed and renowned Jean-Georges brand. Beyond the Tin Building, a big focus for our team during the quarter was preparing for opening of GITANO, New York City at Pier 17, the flagship US location for the Tulum based Grupo GITANO. We soft opened GITANO New York City in March and recently held a spectacular grand opening event on May 1. The volume of positive press surrounding the event sets the stage for GITANO to be one of the most sought after dinner and dancing destinations in New York City, helping draw new customers to the Seaport and providing guests more late night experiences in the Seaport neighborhood. Turning to our Entertainment segment. Coinciding with our GITANO, New York City opening party was the Rooftop at Pier 17's first concert of the year with back-to-back sellout by DJ Elderbrook. Our team has done a fantastic job putting together our 2025 concert schedule, which features a stellar lineup of fan favorites such as Amyl and the sniffers, Riley Green, The Coops [ph], Jack's Mannequin, The Fray, [indiscernible] and recent Grammy award-winning artist, Sierra Farrell, just to name a few. We are also still on pace to move forward with our Rooftop winter structure for more concerts, live shows and events with construction completion expected by the end of November. As we've previously discussed, this enclosure should help us combat seasonality by activating one of our most popular assets year around and it has also strategically tied into the announcements we made yesterday in our earnings release, which is our intention to develop 17,500 square feet of purpose-built meeting and events based in Pier 17. This event space will be located on the fourth floor Pier 17, directly below the Rooftop at Pier 17 stage. We will have direct connectivity to the rooftop, allowing for year-round use of these 2 premier facilities with sweeping panoramic views of the Brooklyn Bridge, East River in Manhattan and Brooklyn skylines independently or combined for larger one-of-a-kind experiences. As it is currently designed, the fourth floor Pier 17 event space will include a nearly 8,000 square foot main room, and we'll be able to hold up to approximately 800 people. Combined with the Rooftops winter structure, approximately 3,000 person capacity, Pier 17 will offer one of the largest, most unique event spaces in New York City. Events are an important and growing component of our company. And with the successes of the Lawn Club events business, our investment in the fourth for Pier 17 events space, Rooftop winter structure and our talented events team, we are looking forward to establishing Pier 17 in the Seaport more broadly as one of New York City's premier entertainment and event destinations. Shifting to the Las Vegas Aviators, which is the other primary business contributing to our Entertainment segment, I'm excited to highlight that the baseball team reached the midpoint of the 2025 season in first place atop the AAA Minor League standings. This is a testament to the quality of the players and our management team who support The Aviators and execute on an unparalleled game day experience day in and day out. From a ticket sale and pacing standpoint, our ticket team has done a great job leveraging technology and analytics to put more ticket sales on our books earlier in the year without materially sacrificing price, helping to potentially limit sales volatility in the summer months where game-to-game ticket sales can be more heavily influenced by the weather and competing last-minute events. As for growth opportunities of special events at the Las Vegas Ballpark, the Ballpark hosted the Las Vegas College Baseball Classic in February, games between the [indiscernible] and Diamondback is part of the big league weekend in March, and we have the West Coast Conference Baseball Tournament later this month. All of which had and should have a terrific turnout. We continue to work to special events and other opportunities in the fourth quarter following the conclusion of the 2025 Aviator season. For our last remaining segment, our real estate ownership and landlord operations, I want to touch on the progress we are making with programming and leasing at Seaport. We are working on a number of opportunities that span various structures, including traditional leases, management agreements, license agreements, and Seaport-occupied offerings with exciting partners to occupy space in Pier 17 or the cobblestones. These opportunities include a combination of retail, food and beverage, and experiential offerings with national partners and hyper local concepts to ensure we're giving people a variety of reasons to visit the Seaport. Our announcement a few months ago about Meow Wolf and the grand opening of Katana, New York City are important steps in the right direction to bring life to our vision of making the Seaport a true entertainment destination. Beyond those two announcements, we recently began a refurbishment project to bring green space to the north side of Pier 17 with a new river-front bar. We are obviously excited about our opportunity with the Pier 17 event space and we look forward to providing more details related to the New York City Wine & Food Festival that we will be hosting in October. Finally, I know one of the more frequent requests we have received was to provide an update on 250 Water Street. We launched the marketing process through our broker JLL at the end of March, and the interest in the project has been tremendous. We've had over 130 potential buyers or partners express interest. We feel good about how things have progressed to-date and as we previously mentioned, this process will be comprehensive in order to drive the best long-term value for the company, our shareholders, and our other stakeholders. In summary, we have made good progress to start the year with our various priorities and initiatives. While we have a lot of work to do to stabilize our assets and maximize value, the commitment of our team, partners and other relationships have been tremendous. Our collective focus remains to deliver on our unique opportunity to position Seaport Entertainment Group as a premier hospitality and entertainment company, while positively influencing the communities we operate in. I'll now turn it back over to Matt.
Matt Partridge: Thanks Anton. As mentioned during our last earnings call in March, some of our year-over-year comparisons are impacted by new businesses, closed businesses, separation-related expenses, and other operating changes. In certain instances, these changes make the comparisons more nuanced to require us to modify prior financial reporting practices to account for the change in circumstances. First quarter 2025 reported financials had two changes that we want to highlight. First, we've reevaluated our segment reporting based on economic characteristics and the types of revenue streams. As a result, we renamed our sponsorships, events and entertainment segment entertainment and certain events and sponsorship revenues and expenses have been reclassified throughout our various reporting segments for Q1 2025 and Q1 2024. Second, as Anton mentioned, our financial results the first quarter of 2025 now consolidate the 10 building, whereas for 2024, the financial results of the 10 building are reflected in the equity and earnings or losses from a consolidated ventures line item of our consolidated statement of operations. The consolidation is driven by our internalization of the food and beverage operations team that occurred on January 1, 2025. In an effort to provide investors with more comparable information or year-over-year comparisons for various components of our statement of operations will be pro forma to consolidate the 10 building for Q1 2024. Total consolidated revenues during the first quarter were $16.1 million, a 12% year-over-year decrease when compared to the pro forma Q1 2024. And as a reminder, the financial results of our unconsolidated ventures, such as the Lawn Club and our investment in Jean-Georges restaurants are reflected in the equity and earnings or losses from a consolidated ventures line item in our consolidated statement of operations. For our Hospitality segment, Q1 2025 consolidated revenue compared to pro forma Q1 2024 decreased 28%, largely due to the strategic decision to close certain restaurants from specific meal periods or days of the week or in some instances, for the entirety of the quarter. Total hospitality revenue and same-store hospitality revenue for Q1 2025, which include unconsolidated ventures decreased 16% and 12%, respectively, compared to Q1 2024. Total hospitality operating EBITDA, including unconsolidated ventures, grew 12% versus Q1 2024. The improvement was primarily a result of better performance at the Lawn Club and improved overall expense management in the Tin Building, which offset the impact of lower overall hospitality revenues. Entertainment revenue increased 18% versus Q1 2024 as our Entertainment segment benefited from increased seaport winter activation revenue, higher aviator ticket sales and increased sponsorship revenue for The Rooftop at Pier 17 concert venue. Q1 2025 Entertainment operating EBITDA decreased 2% versus Q1 2024, large due to elevated programming expenses related to the Seaports winter activations on The Rooftop at Pier 17. Given our intentions to activate The Rooftop at Pier 17, with The Rooftop venture structure, we have the potential to eliminate costs incurred in Q4 2024 and Q1 2025 related to the winter activations. Rental revenue for the quarter increased 3% year-over-year compared to pro forma Q1 2024 due to the benefit of contractual rent increases and increased percentage rent. Other revenue for Q1 2025, which now represents sponsorship revenue related to landlord assets was largely flat year-over-year. Q1 2025 landlord segment operating EBITDA increased 13% versus Q1 2024, primarily due to better expense management and reductions in predecessor company expense allocations. Overall, total operating EBITDA for the company in the first quarter of 2025 reflects the financial performance of each of our segments before the effects of corporate G&A and other corporate expenses and includes the results of unconsolidated ventures increased 10% compared to Q1 2024. General and administrative expenses during the quarter were just under $10 million, resulting in a quarterly year-over-year reduction of 41%. This reduction was largely due to non-repeating separation expenses incurred in Q1 2024. However, as we mentioned last quarter, there continues to be a number of onetime transition items, including costs associated with the onboarding of the beverage operations team at the beginning of this year. Overall, there was $1 million of onetime expenses related to that that transition were incurred in Q1 2025. As we look ahead to the second quarter, G&A should improve sequentially from the first quarter and second quarter corporate G&A should represent a baseline for comparison as we look to make longer-term sustainable improvements. Similar to last quarter, interest income or expense was positive during Q1 2025 and improved year-over-year due to growth in interest income earned on cash deposits. The positive effects of capitalized interest to the P&L related to our 250 Water Street loan and a lower outstanding 250 Water Street loan balance when compared to 2024 because of the loan paydown that occurred around the time of our separation from Howard Hughes. As I previously mentioned, Q1 2025 equity and earnings or losses from unconsolidated ventures will no longer include the effects of the 10 building. When compared to pro forma Q1 2024, a equity and earnings or losses from consolidated ventures improved 128% as a result of improved performance of the Lawn Club, which continues to see strong demand for private events and better year-over-year performance by Jean-Georges Restaurants. First quarter net loss attributed to common stockholders was $31.9 million, representing a year-over-year improvement of $12.2 million, or 28% versus the comparable period in 2024. And first quarter net loss attributable to common stockholders per share was $2.51, an improvement of $5.47 per share, or 69% compared to the first quarter of 2024. Non-GAAP adjusted net loss attributable to common stockholders for the first quarter was $22.8 million, representing an improvement of $11.9 million or more than 34% versus the comparable period in 2024. Q1 2025 non-GAAP adjusted net loss attributable to common stock per share was $1.79, an improvement of $4.48 per share, or 71% compared to the first quarter of 2024. Capital expenditures in Q1 2025 totaled $16.5 million and were predominantly related to the substantial completion of Gitano New York City buildout and initial landlord work and tenant allowance payments from Meow Wolf. And finally, long-term debt outstanding as of March 31 totaled $102.4 million, unchanged from year-end 2024, and net debt to gross assets at quarter end was negative 4%. Our negative net debt position continues to benefit from our healthy cash and cash equivalent balances, which totaled $132 million as of March 31. With that, I want to thank everyone for their continued interest and support. And I'll now turn the call back over to Anton for his closing remarks.
Anton Nikodemus: Thanks, Matt. As you can see, we are making progress with our priorities and strategies, including laying the foundation to transform the Seaport from a seasonal destination into a year-round vibrant neighborhood. Combined with our portfolio management and our organizational initiatives, we believe we are on the path to improving our cash burn and achieving our long-term goals. I want to thank our team, our partners and our shareholders for their dedication and support we look forward to updating everyone on our progress in the coming months. Thank you, everyone. This concludes the conference call. Have a great day.
End of Q&A: This concludes today's teleconference. You may now disconnect your lines. Thank you for your participation.